Operator: Welcome to Evogene's First Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded May 23, 2024.
 Before we begin, I would like to caution that certain statements made during this earnings conference call by Evogene's management will constitute forward-looking statements that relate to future events. The presentation contains forward-looking statements relating to future events and Evogene Ltd., the company may from time to time make other statements regarding our outlook or expectations for future financial or operating results and/or other matters regarding or affecting us that are considered forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995 and other securities laws, as amended.
 Statements that are not statements of historical fact may be deemed to be forward-looking statements. Such forward-looking statements may be identified by the use of such words as believe, expect, anticipate, should, plan, estimated, intend and potential or words of similar meaning. We're using forward-looking statements in this presentation when we discuss our value drivers, commercialization, efforts and timing, product development and launches. Estimated market size and milestones pipeline as well as our capabilities and technology. Such statements are based on current expectations, estimates, projections and assumptions describe opinions about future events, involve certain risks and uncertainties, which are difficult to predict and are not guarantees of future performance.
 Readers are cautioned that certain important factors may affect the company's actual results and could cause such results to differ materially from any forward-looking statements that may be made in this presentation. Therefore, actual future results, performance or achievements and trends in the future may differ materially from what is expressed or implied by such forward-looking statements due to a variety of factors, many of which are beyond our control, including without limitation, the current war between Israel, Hamas and Hezbollah and any worsening of the situation in Israel. Such as further mobilizations or escalation in the northern border of Israel and those described in greater detail in Evogene's annual report on Form 20-F and in other information Evogene files and furnishes with the Israel Securities Authority, and the U.S. Securities and Exchange Commission, including those factors under the heading Risk Factors, except as required by applicable securities laws, we disclaim any obligation or commitment to update any information contained in this presentation or to publicly release the results of any revisions to any statements that may be made to reflect future events or developments or changes in expectations, estimates, projections, and assumptions.
 The information contained herein does not constitute a prospectus or other offering documents, nor does it constitute or form part of any invitation or offer to sell, or any solicitation of any invitation or offer to purchase or subscribe for, any securities of Evogene or the company, nor shall the information or any part of it or the fact of its distribution form the basis of, or be relied on in connection with any action, contract, commitment or relating thereto or to the securities of Evogene or the company.
 Trademarks included herein are the property of the owners thereof and are used for reference purposes only. Such use should not be construed as an endorsement of our products or services.
 On the call today will be Yaron Eldad, CFO of Evogene; and Yoash Zohar, CEO of Casterra. Additionally, a representative from each subsidiary will be present at the Q&A session.
 That said, I would now like to turn over the call to Ofer Haviv, President and CEO of Evogene. Mr. Haviv, please go ahead. 
Ofer Haviv: Hello, and good day, everyone. In today's conference call, I would like to start with Evogene Group's financial and business highlights from the beginning of the year, continue with an overview of Evogene's activity and achievements since the beginning of 2024 and conclude with the achievement of our subsidiaries during that period. Following my part, Evogene's CFO, Yaron Eldad will provide financial update of Q1 2024 activities. After that, we will open the Q&A session.
 Let's start with Evogene's Group financial and business highlights that took place from the beginning of this year.
 In Q1 2024, our total revenue reached approximately $4.2 million compared to $0.6 million in Q1 2023. Looking ahead to the full year, 2024, we anticipate continued revenue growth compared to the previous year. In Q1 2024, our loss was approximately $3.8 million compared to $7 million in Q1 2023, a decline of approximately 46%. Additionally, our projected cash use for 2024 excluding Biomica and Lavie Bio is approximately $8 million compared to $12.5 million in 2023, demonstrating a notable 36% decrease year-over-year. In Q1 2024, Evogene closed down Canonic's operation, resulting in an annualized saving of $1.5 million. On February 6, Evogene and Verb Biotics entered a collaboration agreement to advance probiotic innovation, aiming to produce sustainable microbial metabolites, known to improve human health and vitality.
 On April 2, Evogene and The Kitchen FoodTech Hub by the Strauss Group, established Finally Foods, an AI-driven company aiming for established sustainable and efficient protein production in plants, for the food sector. Evogene holds approximately a 40% stake in Finally Foods. The new company is funded by The Kitchen Hub and the Israeli Innovation Authorities. These two new collaborations demonstrate the implementation of Evogene's business model in which we leverage our technology in new life-science sector, not covered by our subsidiaries, benefiting from our partners' expertise in this new field.
 Now I would like to highlight the main achievements made by Evogene subsidiaries from the beginning of this year. Casterra has recently announced agreement with African and Brazilian seed growers, securing an addition of approximately 900 tons of seeds are expected to fulfill all standing orders by the end of 2024. Biomica announced it will be presenting preliminary Phase I clinical trial results for with BMC128 microbiome therapeutics in oncology in a poster presentation at the 2024 ASCO Conference on June 3.
 Lavie Bio received $2.5 million, the second half of an upfront payment from Corteva and announced a new collaboration agreement with Syngenta. Additionally, Lavie Bio announced an extension to its joint validation trials with Bayer for its bio-fungicide, following successful laboratory and greenhouse testing. Marketing and sales efforts for Yalos, Lavie Bio's first commercial microbiome-based bio-inoculant product are expanding in U.S. and Canada with additional crops being added for treatment. Lavie Bio anticipates 2024 revenues for Yalos to increase compared to the previous year.
 AgPlenus announced a new collaboration agreement with Bayer. AgPlenus will be entitled to receive an upfront payment, ongoing research funding, milestone payments and royalties based on future product sales. AgPlenus also achieved a milestone with Corteva under its existing collaboration agreement. I will provide more details on the achievement of each subsidiary later in the presentation.
 Let us now move to the Evogene overview, and I will start by briefly reviewing our strategy and business model. The biggest challenge in developing life science-based products is at the beginning of the process in the discovery and optimization phases, finding the candidate that meets a long list of their required criteria from a huge quantity of potential candidates in order to reach a successful commercial product. It takes much time and resources and the probability of success may be slim, like finding a needle in a haystack.
 Evogene, a pioneer company in the field of life science-based products, is aiming to revolutionize the industry. Our mission is to leverage dedicated big data sets with cutting-edge computational technologies and deep life science understanding, addressing the discovery and optimization challenges to drive product innovation, securing our position as a leader in developing solutions that advance humanity's future.
 So how do we make it happen. With investment of tens of millions of dollars and over a decade of intense work, Evogene has created a groundbreaking platform called Computational Predictive Biology, the CPB platform, which integrates profound scientific knowledge with public and proprietary big data and AI technologies.
 Based on this platform during past year, Evogene developed 3 innovative AI tech-engine, addressing the main development challenges of 3 product categories.
 MicroBoost AI directs and accelerate the development of micro-based products, ChemPass AI for small molecule-based product and GeneRator AI for products based on genetic elements. The value proposition of our AI-driven tech engines stems from the efficient finding and optimization of the most promising candidates, therefore, increasing the probability of success reaching a breakthrough product within a competitive time frame and in a cost-efficient manner.
 Our 3 AI tech engines were structured to be compatible with the tremendous potential of all its market segment not limited to only one specific segment. This slide demonstrates the best varieties of market segments that can benefit from our technology. Each tech engine is at the center of potential development of many product types, addressing the needs of different life science industries.
 In order to capture the value of our AI tech-engine, our business strategy is to establish the diverse collaborative partnerships for life science product development. The partners we collaborate with are expert in specific fields that complements our technology. We adopted this approach to maximize the potential of our tech-engine while reducing financial and development risks. Therefore, we formed partnerships through licensing or collaboration with companies positioning domain-specific knowledge such as pharmaceutical or agritech, together, we will develop novel products, aiming to full or partial of ownership upon project completion. We believe this strategy holds the potential for groundbreaking innovations and significant financial gains for Evogene.
 This is a current snapshot of the status of our business model with Evogene owning 4 subsidiaries companies and in additional market segments not covered by our subsidiary, we have collaborations with leading companies all working on developing innovative life science products. More specifically, we have 2 license agreements utilizing MicroBoost AI, one with our subsidiary Lavie Bio to develop ag-biological and the second was our subsidiary, Biomica, to develop drugs based on the human microbiome. In addition, we established a collaboration with Verb Biotics to develop probiotic product on which we announced this quarter, and I will elaborate on shortly.
 With respect to ChemPass AI, we had a license agreement with our subsidiary AgPlenus to develop ag-chemicals and the collaboration agreement with our subsidiary Biomica, to develop drugs based on small molecules.
 Last but not least, with respect to GeneRator AI, we have a license agreement with our subsidiary, Casterra, for the development of elite castor seed varieties, a license agreement with Finally Foods for protein production in plant, on which we announced this quarter, and I will elaborate on shortly. And took on [indiscernible] agreement with Colors Farm for improving crustacean traits and with the Horizon EU consortium for improving traits in canola. I would now like to provide additional details on the decisions concerning our subsidiary Canonic and the new engagement with Verb Biotics and Finally Foods.
 In Q1 2024, Evogene decided to cease operations of Canonic, which specialized in developing medical cannabis products due to the challenging market condition in the medical cannabis sector. This decision results in annualized savings of approximately $1.5 million. Resources, we intend to allocate to area with greater growth potential such as funding Casterra's needs for ongoing capital. This decision highlights Evogene commitment to prudent resources management and strategic focus in response to evolving market conditions.
 At the beginning of February, Evogene and Verb Biotics entered a collaboration agreement to advance probiotic innovations. The parties will identify and designing probiotic bacteria that produce high sustainable quantities of microbial metabolites known to improve human health and vitality. The collaboration generates excellent synergy by combining Evogene's knowledge in bacteria-based product development, utilizing its tech-engine MicroBoost AI, with Verb Biotics access to the genomes of virus microbial strains that support the production of microbial metabolites with vitality and human health.
 This is a great example of the implementation of Evogene business model in which we leverage our technology in the new life sectors (sic) [ new life science sectors ], not covered by the activity of our subsidiaries. We expect the collaboration to demonstrate the contributions of our unique technology to the fast-growing field of human probiotics, as sector estimated at $55 billion in 2022 and expected to reach $114 billion in 2031. We consider this collaboration as our first step in this lucrative market segment.
 At the beginning of April, Evogene and The Kitchen FoodTech Hub by the Strauss Group teamed up to establish Finally Foods, an AI-driven company focused on sustainable protein production in plants for the food sector. Finally Foods will leverage Evogene GeneRator AI tech-engine to modify plants for efficient protein production. This is another example of the implementation of Evogene business model of entering into a new life sector -- new life science sector, our subsidiaries do not cover.
 Finally Foods has secured pre-seed funding from The Kitchen Hub and the Israel Innovation Authority. Evogene holds approximately 40% stake in the company. This agreement will not require any financial contribution from Evogene, rather, we expect that the agreement will generate future revenues for Evogene. We believe the collaboration will demonstrate the potential of our technology to support the alternative protein market, estimated at $17.6 billion in 2022 and expected to reach $55 billion in 2032. We wish Finally Foods the best of success.
 I will conclude my update with a review on the main achievement made by our subsidiaries from the beginning of 2024.
 I would like to start with Casterra, Evogene fully-owned subsidiary, with focus on developing an integrated solution to enable large-scale commercial cultivation of castor. Casterra solution aim to address the global demand for stable castor oil supply, mainly for the biodiesel industry. As I mentioned, the company is utilizing GeneRator AI tech-engine to direct and accelerate the development of its unique elite caster seed varieties.
 In early 2023, Casterra entered into a frame supply agreement with ENI, a leading oil and gas companies. Under the agreement, ENI has given Casterra purchase order last year, totaling $11.2 million. To date, Casterra has supplied only a small portion of the orders, mainly due to initial production challenges. Under the supervision of Casterra's new CEO, the company's recent engagement with seed growers in Africa and Brazil are expected to provide approximately 900 tons in 2024, which is expected to fulfill all existing purchase order and provide additional inventory later this year.
 It is anticipated that the balance of the existing purchase order will be delivered in the second half of 2024. I am happy to share with you that Casterra is now building its backlog ordered for 2025. Casterra remains at the forefront of developing superior castor seed varieties with high yield, even under difficult growth conditions and with traits suitable for mechanic farming operations.
 Now I would like to review our subsidiary AgPlenus, aiming to discover next-generation innovative crop protection products, including herbicides, insecticides and fungicides and commercialize them through collaboration with world-leading partners. AgPlenus utilized Evogene's ChemPass AI tech-engine to direct and accelerate its product development. Major agro-chemical companies dominant today's crop protection industry. Still, they look to ag-tech companies to discover new target proteins and small molecules that inhibit such target protein, serving as the active ingredient in commercial drop protection products. AgPlenus is the company that addressed this need as shown by the 2 announcements made this passing quarter.
 On February 21, 2024, AgPlenus announced entering into a licensing and collaboration agreement with Bayer, to develop a novel mode of action broad-spectrum herbicide for farmers targeting the APTH1 protein, discovered by AgPlenus. Under the agreement, AgPlenus will be entitled to receive an upfront payment, ongoing research funding, milestone payments and royalties, based on future product sales. Bayer will have the exclusive license for the development and commercialization of products under that collaboration.
 On March 6, 2024, AgPlenus announced it has reached a milestone under its existing collaboration agreement with Corteva, to develop new herbicides through a novel mode of action, APCO12, which was discovered by AgPlenus as well. In the next phase, the collaboration will focused on optimizing the herbicide candidates toward a commercial-level product. These 2 collaboration agreements strength AgPlenus' financial stability and overall positioning in the agriculture market.
 I would like now to continue with the 2 subsidiaries using MicroBoost AI to accelerate and direct their product development, Lavie Bio and Biomica. Lavie Bio leveraged Evogene MicroBoost AI tech-engine to develop next-generation ag-biological products. On February 20, 2024, Lavie Bio signed an agreement with Syngenta for the discovery and development of new biological insecticidal solution. The collaboration will leverage Lavie Bio, unique technology platform to rapidly identify and optimize bio-insecticide candidates.
 On February 28, 2024, Lavie Bio also announced meeting Corteva's licensing agreement requirements, enabling the successful receipt of the second half advanced payment of $2.5 million from Corteva, totaling $5 million. Additionally, Lavie Bio extended its joint validation trial with Bayer for its bio-fungicides, following successful laboratory and greenhouse testing. The collaboration aims to address disease affecting fruit and vegetable worldwide. With positive results from the first year, Bayer proceeded to field experiments for further validation.
 Also announced this quarter on March 13, Lavie Bio partnered with Ceres Global Ag Crop., to integrate its bio-inoculant, Yalos into regenerative agriculture programs across the North America. These collaborations aim to enhance growing practices and offer tailored solution to support productivity and sustainability goal in the agriculture industry, particularly in segments like spring wheat, durum and oats. This announcement and other marketing and sales efforts for Yalos, Lavie Bio's first commercial microbiome-based product, support the penetration of Yalos in United States and Canada markets with additional crops being added for treatment. Based on initial orders and sales projections, we anticipated 2024 revenues for Yalos to increase compared to the previous year.
 Now to Evogene subsidiary, Biomica, which specialized in developing microbiome-based therapeutics for human health. On January 17, 2024, Biomica reached a significant milestone by completing Phase I trial enrollment for its microbiome-based immuno-oncology drug BMC128, a rationally designed consortium of 4 bacteria. Biomica recently announced that it will be presenting preliminary Phase I study data of BMC128 in a poster presenting at the ASCO 2024 Annual Conference, on June 3.
 Biomica is now preparing for advancing to Phase II of the clinical trial for BMC128, and already conducted a pre-IND meeting with the FDA aiming to initiate Phase II in 2025. In addition, results from Biomica's pre-clinical study in the IBS program, conducted in collaboration with New York University's medical school, were presented at that the Digestive Disease Week 2024 Annual Conference in May 2024.
 To summarize my part in this call, I would like to emphasize how proud I am of the achievements of Evogene and each subsidiaries to date, reflected by the growing list of commercial and financial partners, the Evogene Group is engaged with. During the last quarter, Lavie Bio announced partnering with 2 additional world-leading Ag companies, Syngenta and Bayer. Casterra disclosed its engagement within ENI, a world-leading oil and gas company. AgPlenus announced partnering with Bayer. And Evogene itself announced a new collaboration with Verb Biotics to advance human probiotic innovations and also establish together with The Kitchen Hub by Strauss Group, Finally Foods, a new company focused on protein production in plant. No doubt, these are great achievement to start the year with.
 I will now hand over the call to Yaron, Evogene's CFO, who will review our financial results for the first quarter of 2024. 
Yaron Eldad: As of March 31, 2024, Evogene had consolidated cash, cash equivalents and short-term bank deposits of approximately $26.6 million compared to approximately $31.1 million from December 31, 2023. During the first quarter, the consolidated cash usage was approximately $4.5 million. Excluding our 2 self-funding subsidiaries, Lavie Bio with a positive cash flow of approximately $0.3 million and Biomica with a cash usage of approximately $1.4 million, the cash usage of Evogene and the other subsidiaries was approximately $3.4 million.
 As Ofer already stated, our projected cash usage for 2024, excluding Biomica and Lavie Bio is approximately $8 million compared to $12.5 million in 2023, demonstrating a notable 36% decrease year-over-year.
 Revenues for the first quarter of 2024 were approximately $4.2 million compared to approximately $0.6 million in the same period the previous year. The revenue increase was primarily due to revenues recognized by Lavie Bio with a license agreement with Corteva and due to revenues recognized by AgPlenus, with a new collaboration with Bayer during the first quarter of 2024.
 As Ofer stated, we anticipate continued revenue growth in 2024 compared to the previous year, mainly in the second half of 2024 based on Casterra's forecast for seed-order supply.
 R&D expenses for the first quarter of 2024, which are reported net of non-refundable grants received, were approximately $4.8 million and remained stable as compared to approximately $4.8 million in the same period in the previous year.
 Sales and marketing expenses were approximately $992,000 for the first quarter of 2024 compared to approximately $800,000 in the same period the previous year. The increase is mainly due to increased sales and marketing activities in Casterra promoting its elite seed varieties and Lavie Bio promoting the sales of its first commercial product, Yalos.
 General and administrative expenses were approximately $1.7 million in the first quarter of 2024, compared to approximately $1.5 million in the same period in the previous year, mainly due to noncash compensation to the subsidiary CEOs.
 Following the decision to cease Canonic operations, we have recorded in other expenses, approximately $0.5 million in the first quarter of 2024, mainly due to impairment of fixed assets.
 Operating loss for the first quarter of 2024 was approximately $4.1 million compared to approximately $6.8 million in the same period in the previous year. The decrease in operating loss is mainly due to the increased revenues.
 Financing income net for the first quarter of 2024 was approximately $241,000 compared to financing expenses net of approximately $230,000 in the same period in the previous year. This difference was mainly due to an increase in interest income and revaluation of convertible SAFE during the first quarter of 2024 as compared to the same period in the previous year.
 Net loss for the first quarter of 2024 was approximately $3.8 million compared to approximately $7 million in the same period in the previous year. The $3.2 million decrease in the net loss is mainly due to the increased revenues in the first quarter of 2024 and financial income, as mentioned above, which was partially offset by the onetime $519,000 of other expenses created by ceasing Canonic's operation.
 I would now like to hand over the call to the operator for the Q&A session. 
Operator: [Operator Instructions] The first question is, are there any updates on Evogene CRISPR capabilities? 
Ofer Haviv: This is Ofer speaking. As you know, we participate in a very important consortium that was focusing on developing CRISPR technology, and we took a major role in this consortium. The technology that we established in this consortium was the base for our collaboration announced late last year with Color in developing genome editing technology for crustacean traits.
 We also have internal activity here in Evogene with respect to the CRISPR technology for plant. So yes, we are active in this area. Yes, we are also looking for opportunity to leverage the technology that we develop there. And when there will be specific news, we will be more than happy to disclose it to our investors. 
Operator: The next question, how are your Casterra seed suppliers preparing today for harvest, which can support follow-on orders to ENI in 2025? 
Ofer Haviv: I will ask Yoash, the CEO of Casterra to answer this question, Yoash? 
Yoash Zohar: Yes. So in Brazil, our seed suppliers are doing this for the second year. They all have the right equipment and everything is streamlined. We are visiting there periodically. One of our ergonomist just came back last week. Another one is going next week. I visited there personally about 1.5 months ago to make sure that everything is ready for harvest.
 In Kenya, which is turning to be our major seed supplying operation, we purchased castor header from Nardi in Italy. It is being shipped next week out of Italy and will arrive in time for harvest in Kenya. We're also shipping dehulling and seed processing equipment from India and China to set up our own logistical center. And where we will dehull, clean, sort and pack the seeds all under Casterra. We're in the process of registering a local entity in Kenya, which will operate as above mentioned.
 Again, we are there. I personally visited each and any of our growers and the location for the seed processing. And at this point in time, we see envision no problems in the seed processing and harvest procedures. 
Operator: What considerations do you believe remain outstanding before ENI can place a follow-on order for castor seed to be delivered in 2025? 
Ofer Haviv: Yoash, can you take this question as well. 
Yoash Zohar: Sure. So we cannot comment at this point in time about 2025 orders. I will only say that we are deep into negotiations with clients for most ENI, of course, on the different territories, which means Kenya and other African territories, some of the orders going directly to ENI in specific location, others are going through their main headquarters in Italy. We are negotiating with both. And as soon as we have clear orders, we will, of course, notify everybody. 
Operator: Were 100% of the upfront payment from Bayer to AgPlenus is realized in the first quarter? And do you expect the ongoing R&D funding milestone payments and royalties to allow AgPlenus to be a profitable on a go-forward basis. 
Ofer Haviv: Here with us, we have also Dan Gelvan, the new CEO of AgPlenus, which I'm very happy that you joined us at the beginning of this year. And I will ask him to take the lead and answer this question. So Dan, please? 
Dan Jacob Gelvan: So thank you very much. As Yaron said, the full amount of the upfront payments were recognized by Evogene in this quarter. And to the second part of the question, the payments that we are receiving are a significant contribution to our revenues, and they are in addition to other revenue streams that we have from other collaborations. We are not yet cash positive from these. Evidently as we go along and we start to receive from these multiple collaborations, both the milestone payments and royalties in the future, we will be cash positive. We continue to expand our collaborations in order to be self-sustainable in the short term, even before we start to receive significant revenue payments. 
Operator: The next question, what is your confidence level in filling the $10 million castor-seed order by year-end? And what will be the cadence of the filling of this order? 
Ofer Haviv: Yoash, can you take this question as well? 
Yoash Zohar: Yes. So as we notified, we envision production of at least 900 tons of seeds in 2024. So we will be able to fill all the open orders for 2024 -- 2023 and 2024. The cadence will be the major supply will start in August all the way through December, and will probably peak around October. 
Operator: The next question, a cash question. What amount of cash have you front-end invested to line up capacity for the 900 tons for castor. What amount of future investment will be needed? 
Ofer Haviv: So I will take this question. This is something that Casterra is responsible for, but still I would answer it. So there is a need, of course, when you build an inventory for ongoing capital and as I mentioned earlier, one of the things that we are doing in Evogene is investing our money in the places where we see high probability of success. So one of the reason what we're planning to do is that part of the money that we are going to save from closing Canonic activity, is to invest in funding the ongoing capital needs of Casterra.
 So this is already all taken into account and we built it in a way that we can fund the needs for the inventory. And when we'll start to receive revenue from our partners, we are going to use it to build the inventory for next year. And since we are expecting to start to receive significant amount of money during the third quarter of this year, so we are going to build the inventory for 2025 actually starting in 2024.
 So this is how we are going to fund our ongoing -- the need for ongoing capital. At the beginning -- for this at the beginning of the first half of 2024 is going to be from Evogene resources, part of it coming from closing Canonic. Second half, it will start also to be funded from revenue we are going to generate from the -- our existing partners. Because what we are trying to do is that to start 2024 with a nice level of inventory to supply the demand that we expected in 2025. 
Operator: The next question. Are the 900 tons of castor seed supply in addition to the 400 ton expansion you reported on your Q1 earnings call. Or is the total supply now 900 tons? 
Ofer Haviv: So the total supply is 900 tons. 
Operator: The next question how much, if any, of the $4.2 million in revenues were from sales, seed sales? 
Ofer Haviv: As I mentioned in my part, only a small portion from the orders we received in 2023 were delivered. So from this, you can understand that only a small portion from the revenue from this quarter is attributed from Casterra activity. There are some revenue coming from Casterra activity, but it's very modest compared to what we are expecting to see in the second half of 2025 as we already disclosed. 
Operator: Next question, please address competition faced by your CBP (sic) [ CPB ] platform? 
Ofer Haviv: So I would like to refer in general, to what -- why do we think that our technology is unique. I think that what we are doing in Evogene is that we are not just building a computational technology. It's all guided and we build it together with a group of biologists and chemists that actually are coming with the problems they are facing and they know about which the industry is facing. And we are really trying to address these type of problems in using our technology. And then when we are working with our partners, I think and also with our subsidiaries, this is bringing an additional validation to the technology and also help us to improve the technology all the time.
 And I think that the fact that in our company, and this is very rare to see it in other places, the fact that we have 3 tech-engine, one for genomics, any type of product, then microbials and then chemistry, and we are all managing it under the same umbrella. This has put us in a very, very unique position because in biology, in life science in general, it's all connected. It's all connected, and you can just focus on one fragment from the big story.
 So I think this is about unique Evogene technology. And you know what, lets our partners to be the proof. I mean, the number of partners that we are working with is getting bigger and bigger. Actually, it's really the -- our first tier type of companies such as Corteva, Bayer, Syngenta, ICL and I think this is just the beginning. I believe that there will be more that we -- our subsidiary or even Evogene will direct -- is going to work with. So I truly believe that we are offering something different from what exists today in the market. 
Operator: There are no further questions at this time. Mr. Haviv, would you like to make your concluding statement? 
Ofer Haviv: Yes. I would like to say thank you for everybody for participating in this analyst call. I think that we had a great first quarter in this year. We are looking forward to continue and to update you on the next achievement of our company and subsidiaries at the next analyst call. Thank you very much, and have a great day. 
Operator: This concludes Evogene's First Quarter 2024 Results Investor Webinar. Thank you for your participation. You may go ahead and disconnect.